Operator: Good morning, and welcome to the AstroNova Fiscal First Quarter 2025 Financial Results Conference Call. Today's call is being recorded. I would now like to turn the conference call over to Scott Solomon of the company's Investor Relations firm, Sharon Merrill Advisors. Please go ahead, sir.
Scott Solomon: Thank you, Candace, and good morning everyone. By now you should have received a copy of the earnings release issued this morning. If you have not received a copy, please go to the Investors page of the AstroNova website, www.astronovainc.com. You can also access the deck that follows along with our prepared remarks on the Investors section of our website under Events & Presentations. Turning to Slide 2 in that deck. Statements made on today's call that are not statements of historical fact are considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on a number of assumptions that could involve risks and uncertainties. Accordingly, actual results could differ materially, except as required by law. Any forward-looking statements speak only as of today, June 6, 2024. AstroNova undertakes no obligation to update these forward-looking statements. For other information regarding the forward-looking statements and the factors that may cause differences, please see the risk factors in AstroNova's Annual Report on Form 10-K and other filings that the company makes with the Securities and Exchange Commission. On today's call, management will refer to non-GAAP financial measures. AstroNova believes that the inclusion of these financial measures helps investors gain a meaningful understanding of the changes in the company's core operating results and also helps investors who wish to make comparisons between AstroNova and other companies on both a GAAP and a non-GAAP basis. A reconciliation of the non-GAAP financial measures to their most directly comparable GAAP measures is available in today's earnings release. Turning to Slide 3. Joining us on the call this morning are Greg Woods, AstroNova's President and Chief Executive Officer; and David Smith, Vice President and Chief Financial Officer. Greg will discuss the company's first quarter operating highlights, and David will take you through the financial results at a high level. Greg will make some concluding comments and then management will be happy to take your questions. Now please turn to Slide 4, and I turn the call over to Greg.
Greg Woods: Thank you, Scott, and good morning everyone. Q1 was a profitable yet challenging quarter for us, primarily because we had to navigate a couple of temporary component shortages that delayed the shipment of certain legacy printers in our Aerospace product line. These suppliers were unable to deliver the necessary components on time. That delay which we expect to be fully remedied this fiscal year, meant we are unable to ship more than $3 million of Aerospace printers in the quarter. As we noted in this morning's earnings release, longer-term, we are well underway on our transition program to upgrade most AstroNova Aerospace customers from legacy products to our newer, more advanced ToughWriter branded printers. Today, ToughWriter printers account for approximately 36% of our total Aerospace printer shipments. Completing this transition will result in a more efficient supply chain, lower manufacturing costs and a streamlined parts and services experience for our OEM and airline customers. In our Product Identification segment, last September, we unveiled next-generation flat-pack and mail-related printing solutions from our Astro Machine subsidiary at the PRINTING United Expo. In this year's first quarter, we needed to push out shipment of a very large order we had received for that equipment just in order to make sure that we are able to do some customer requested enhancements that were required by that customer. We now expect the majority of that order to be shipped in the fiscal second and third quarter of this year. Despite the challenges caused by component deliveries and order delays, we remain on track to achieve our fiscal full year 2025 expectation for organic revenue growth in the mid-single digits and adjusted EBITDA margin in the range of 13% to 14%. Turning to Slide 5. In May, we significantly strengthened our position in the color digital label and packaging printing verticals with the acquisition of Portugal-based MTEX NS. MTEX provides us with complementary market adjacencies that expand our addressable markets, and broaden our global footprint, opening up significant top and bottom-line growth opportunities. We continue to expect the MTEX acquisition to generate $8 million to $10 million of revenue in this fiscal year. MTEX is not only an innovator but a technology disruptor, with new industrial printing solutions that have been exceptionally well received in the market. MTEX operates a sophisticated engineering and manufacturing center at its headquarters near Porto, Portugal. The high level of vertical integration at this facility has made it a model of cost efficiency, reducing MTEX's dependence on outside suppliers. Less than a month into the acquisition, we are more excited than ever about the complementary nature of MTEX NS' product offerings. MTEX moves us further up the value chain with products that generally carry higher ASPs with large recurring revenue streams and strong customer loyalty. And the initial response to MTEX's newest products bears that out. Turning to Slide 6. I just returned from the Drupa 2024 trade show in Düsseldorf, Germany. Drupa, which began on May 28 and runs through tomorrow, is the world's leading trade fair for printing technologies. The large combined AstroNova-MTEX booth at Drupa, was the perfect venue to showcase the broad range of groundbreaking products and solutions. Congratulations to our marketing teams for pulling out all the stops in coordinating the design implementation of this integrated booth in record time. They pulled it off in just a few weeks from when we closed this acquisition. Together with the full array of our QuickLabel, TrojanLabel and Astro Machine products, MTEX is exhibiting several of their latest color printing products for labeling, overprinting on rigid products, and industrial flexible packaging solutions for both paper and film materials. The MTEX products at the show featured their unique high quality printhead and ink systems that significantly lower the cost, the total cost of ownership for our customers. The printers cover a wide range of printing width from the ATOM at 8 inches wide to the new AQUAFLEX at 42 inches wide. The AQUAFLEX was by far the largest printer in our booth. This is a high-volume commercial printing solution developed for industrial flexible packaging that can print in both untreated and treated papers. AQUAFLEX represents the next generation of industrial flexible packaging printing for high-volume customers. The system uses multiple five-liter ink tanks of either pigment or dye-based inks to produce full color wide-format output used in paper bag production and other high volume packaging applications. Since the Drupa show opened on May 28, attendees have been flocking to the booth to see the AQUAFLEX in action, along with the other new products from MTEX and AstroNova. We collected 100s of high-quality leads as well as several orders at the show. We even closed deals to sell some of the printers right off the floor in our booth, including the two you see in Slide 6; the Trojan T2-Pro that we previously announced for high performance label printing and the AQUAFLEX printing system. For more information on the AQUAFLEX and the other MTEX and AstroNova products featured at our Drupa booth, including pictures and videos, check out the Drupa press release on our website, astronovainc.com. Beyond the timely trade show integration for Drupa, our overall integration of MTEX is proceeding well. Another recent step was the formation of an integrated engineering steering committee that is already in place and working on plans to ensure that we are leveraging the fantastic engineering strengths of both organizations to further extend our leadership position in the industry. On Slide 7, let me briefly touch on the developments in our T&M segment. As I mentioned, we are gradually upgrading OEM and direct airline customers to our more advanced ToughWriter branded printers from the other three brands in our portfolio. The ToughWriter upgrades are taking place in both the commercial and defense verticals within our Aerospace product-line. Reducing the number of brands that we offer will allow us to significantly lower our overall manufacturing costs, including royalty payments, thereby driving higher margins. By the end of fiscal 2027, we estimate that about nine of every 10 printers we ship will be a ToughWriter compared with a little less than four in 10 today. In addition to our momentum in the aerospace market, our Test & Measurement segment continues to win contracts with Air Force bases that are upgrading their missile programs with legacy -- from legacy systems to our latest technologies. And now with that, I'll turn the call over to David for the financial review.
David Smith: Thanks, Greg and good morning everybody. Let me begin by reviewing our first quarter financial results taking a look at slide eight. Revenue for the quarter was $33 million it was down 7% from the prior year period due to the lower sales in both P&I and the T&M segments. Greg touched on some of that. Despite the decrease, gross margin increased to 36.3%, up 130 basis points from the same period last year, with higher margins in both segments reflecting favorable mix and cost trends. A quick comment on operating expenses, which are under control and in good shape. We have done some minor and I think, immaterial reallocations of expenses in our income statement segment reporting in response to the new and more rigorous accounting rules on segment reporting. So in the first quarter, operating expenses were down about $300,000 but were approximately 3% year-over-year to $10.6 million. But under the recasting we did for this new compliance requirement about $250,000 of that was reallocated manufacturing expenses. So the total expenses were only down slightly. If you look at the prior expense allocation, selling and marketing would have been down about $200,000, R&D up about $200,000 due to product development, G&A about flat, and gross profit would have been about $250,000 higher. We are not going to report on these before and after comparisons and changes after this quarter because these already small differences between methods are expected to decline substantially in future quarter comparisons, and the new method, frankly is more representative of the underlying economics. Overall though total company spending, operating and manufacturing, is over $1 million lower than the first quarter last year, which is a result primarily of our prior restructuring and an overall focus on spending. When we announced the restructuring last August we projected an anticipated annual cost savings of about $2.4 million. As our business has developed since then, it is becoming a little bit harder to track those cost savings down to reportable detail for you. But we are clearly going in the right direction, and we'll meet or exceed those targets. And that's a major reason we are able to maintain 4.1% margin despite the $2.5 million decline on revenue on a year-over-year basis, which as Greg explained was depressed due to what we think are temporary issues. Adjusted EBITDA of $2.5 million was 7.5% of revenue in the quarter was down just under $600,000 or 19% from last year when EBITDA margin was 8.6%, again primarily due to what we think are the temporary revenue issues. Despite the lower revenue, we began the year with a profitable first quarter, reporting diluted EPS of $0.15 compared to $0.11 in the first quarter last year. Bookings in the quarter were $33.1 million compared to $38.4 million last year. But I've cautioned repeatedly about relying too heavily on this metric as an indicator of short-term performance because of the lumpy nature of the order intake in our T&M segment, which is what explains most of the difference in the quarterly comparisons though we did see lower backlog in our PI segment relating to supplies for inkjet printers, in turn related to the previously discussed retrofit program involving some printers affected by one supplier's quality and reliability issues. Turning to Slide 9. PI segment revenue was $23.2 million in the first quarter compared with $25.1 million in the fiscal 2024 first quarter, primarily due to the delayed shipments of the significant PI order resulting from the customer specification change that Greg talked about in his remarks. But those shipments will flow through soon. Segment operating profit in PI was $3 million or 12.9% of segment revenue compared with $2.5 million or 10% of segment revenue last year. The increase in operating margin is more favorable mix and expense control. In the Test & Measurement segment, first quarter revenue was $9.6 million -- excuse me $9.8 million compared to $10.3 million last year. While the demand remains strong and trends positively in Q1, as Greg said we are unable to ship over $3 million in orders from commercial Aerospace customers, as a result of the supplier shortages of printheads used in some quite legacy products. It hurt OEM printer shipments but also noticeably delayed some profitable repair volume as well. We are working closely with those suppliers and expect to have the shortages resolved by the third quarter of this year but beginning in Q2. Longer-term, as Greg noted the way these sorts of issues get sorted out is through the transition to the -- of most of the AstroNova Aerospace customers to the newer more ToughWriter products. With those factors as explanation, segment operating profit was $1.7 million or 17.6% of segment revenue compared to segment operating profit of $2.1 million or 20.1% of segment revenue in the first quarter last year. Turning to Slide 10, which I won't read. Supplies accounted for 57% of revenue in the first quarter versus 54% in Q1 last year. Hardware accounted for about 27% of revenue down 6 points from last year, stemming in large part from the supply shortage and order deferral issues. The service/other category made up just over 16% of revenue in the quarter up from 13.2% in Q1 of last year and that, primarily due to the T&M segment. I will conclude my remarks by talking about our balance sheet and cash flow highlights that are outlined on Slide 11. Cash and equivalents at the end of the first quarter were $4 million, down from about $500,000 higher at the end of the prior fiscal year. And that range is about where we are likely to remain at quarter end as long as we have debt outstanding. It is close to the minimum levels we're currently comfortable having after accounting for the needs of our various operating subsidiaries globally. We generated $6.9 million cash from operations during the quarter and we reduced the revolving debt by $5.5 million. Debt at the end of the quarter was $15.6 million, and our bank-calculated debt trailing 12-month EBITDA-to-debt ratio was just a [here] (ph) under one. That ratio will likely still be significantly below our covenant limits at the end of Q2, even after the acquisition. As is all detailed in the 10-Q, we are about to file later today, post quarter end, we took on an additional $19.4 million in debt to consummate the MTEX acquisition. To do this, we increased our credit capacity by amending our credit facility with Bank of America. Post-acquisition, we still have sufficient committed revolving credit capacity to support our operating needs. And together with the banking relationship, we believe also support non-organic growth opportunities that fit our acquisition criteria, should the opportunities arise. That said, our primary focus in the near-term is debt reduction. We expect -- I guess I should say, we have the goal of repaying most of the revolving credit debt or we're paying all of the revolving credit debt by the end of the year. I should note that the availability under the bank revolving credit does decline by $5 million from $30 million to $25 million at the end of the fiscal year, but we really don't expect to need it. So with that, I'll turn the call back to Greg for closing comments.
Greg Woods: Thanks, David. Turning to Slide 12. Looking ahead, we are excited about the prospects for both segments of our business over the balance of fiscal 2025 and beyond. Our revenues were pressured by supplier issues, the shipment delay of a major order and the transition to higher-margin products across both segments, we believe the move to higher end, higher margin products will yield profitability benefits both this fiscal year and over the long-term. We remain on track to achieve our fiscal full year 2025 expectation for organic revenue growth in the mid-single digits and adjusted EBITDA margin in the range of 13% to 14%. Summarizing on Slide 13, we have well-respected brands across our businesses and we continue to launch innovative products that satisfy our customers' most challenging needs and strengthen our leading market positions. This sets us up to capitalize on strong secular trends in both our Product Identification and Test & Measurement segments, including the increasing demand for a wide range of printing solutions to satisfy mass customization of packaging for consumer goods, as well as the resurgent airline industry. And with that, Dave and I will take your questions. Operator please open the line for Q&A.
Operator:
Scott Solomon: Candace, I don't believe we have any questions in the queue. So we'll be happy to turn the call back to Mr. Woods.
Operator: Thank you.
Greg Woods: Okay. Well, with that thank you all for joining us here this morning. We look forward to keeping you updated on our progress, and have a good rest of the day. Bye now.
Operator: Ladies and gentlemen this concludes today's call. Thank you for joining. You may now disconnect your lines.